Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Customers Bancorp Second Quarter 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you David Patti, Director of Communications. You may begin your conference.
David Patti: Thank you, Rob, and good morning everyone. Thank you for joining us for the Customers Bancorp's earnings call for the second quarter of 2023. The presentation deck you will see during today's webcast has been posted on the Investor Relations page of the bank's website at customersbank.com. You can scroll to Q2 2023 results and click Download Presentation. You can also download a PDF of the full press release at the spot. Our investor presentation includes important details that we will walk through on this morning's webcast. I encourage you to download and use the document. Before we begin, we would like to remind you that some of the statements we make today may be considered forward-looking. These forward-looking statements are subject to a number of risk and uncertainties that may cause actual performance results to differ materially from what is currently anticipated. Please note that these forward-looking statements speak only as of the date of this presentation, and we undertake no obligation to update these forward-looking statements in light of new information or future events except to the extent required by applicable securities laws. Please refer to our SEC filings, including our Form 10-K and 10-Q for a more detailed description of the risk factors that may affect our results. Copies may be obtained from the SEC or by visiting the Investor Relations section of our website. At this time, it's my pleasure to introduce to you, Customers Bancorp Chair, Jay Sidhu.
Jay Sidhu: Thank you, Dave, and good morning, ladies and gentlemen. Welcome to Customer Bancorp's second quarter 2023 earnings call. Joining me this morning are President and CEO of our bank, Sam Sidhu; Customers Bancorp's CFO, Carla Leibold; Chief Credit Officer, Andy Bowman; and our bank CFO and Head of Corporate Development, Phil Watkins. We are very pleased with our second quarter results as we executed seamlessly on our strategic priorities and delivered one of the parts strongest quarters to date. Despite all of the challenges banks are facing this year, we are pleased that we are not only delivering on our promises to our clients and to our investors, but finding opportunities in these challenging times. Please join me in thanking all of our team members across the bank, who will continue to work tirelessly every single day on executing superbly on our short-term as well as our long-term priorities. Beginning on Slide 3. As you can see, we believe our presentation today will once again demonstrate why we believe we are truly a forward-thinking bank with strong risk management capabilities. We will cover six key topics today. I will provide you with the highlights and my colleagues will cover them in more detail. First, in terms of quarterly performance, we are, again, comfortably beating street estimates on our core basis. While our industry is facing margin headwinds, we demonstrated our ability to improve net interest margin, while expand – which expanded by 19 basis points to 3.15% during the quarter. Hence, our net interest income was up 10% during the quarter on a smaller loan base. We are well positioned to achieve the full year net interest margin guidance we previously provided to you. Second, we executed on several strategic transactions in the quarter to accelerate our financial and strategic priorities. The Venture Banking portfolio acquisition from the FDIC represented once-in-a-cycle opportunity to recruit a phenomenal team and will serve as another avenue to continue to improve our deposit franchise. We followed through on the commitment we communicated to you last quarter to exit non-strategic relationships and to continue to derisk the balance sheet by executing on two non-core loan sale transactions during the quarter. Sam will provide more detail on each of these transactions later on in the presentation. Third, we have a high-quality, diversified loyal customer base and are laser-focused on continuing to improve our deposit base in 2023 and beyond. Evidence of the continued success of the efforts can be seen in the $1 billion or 29% quarter-over-quarter increase in our non-interest-bearing deposits. We reduced our average cost of deposits in the quarter by 21 basis points despite an increase in interest rates and significant deposit pressures experienced by the entire industry. Fourth, our liquidity and capital position remained best-in-class. We continue to maintain immediately available liquidity of more than 200% of our uninsured deposits, in recognition of the uncertain times that remain for the industry. We also significantly improved our common equity Tier 1 ratio by 70 basis points during the quarter and have a clear path towards the 11% plus target we stated to you last quarter. Lastly, and perhaps most important is credit quality. This is always a key focus at Customers Bank. We were well ahead of the industry in tempering balance sheet growth, which we discussed with you on our Q4 2022 earnings call. Recent areas of credit focus in office and retail commercial real estate are absolutely de minimis components of our loan portfolio. This was obviously intentional and will pay dividends going forward. We are pleased with what we've accomplished this quarter, but even more excited about what we can do going forward. Turning to Slide 4. Let me briefly share with you again our priorities, which remain unchanged. We have and will continue to moderate growth build a stronger balance sheet during this time period because of the uncertain environment and to assure ourselves that we are actually capturing holistic banking relationships and continuing to build our franchise. We will continue to fortify our balance sheet and bring – and then bring our capital ratios and then maintain those capital ratios above peer levels. As always, risk management remains at the core of the bank's DNA and we are unchanged in our commitment to what we call our critical success factors. These are that we will never take our eye off the credit risk. We will always focus on superior interest rate risk management. We will continue to monitor liquidity daily and maintain robust liquidity under stress scenarios. We will have above average peer capital ratios, and we will always ensure our growth initiatives will generate positive operating leverage. With that, I'd like to turn it over to Sam to cover the key activity and results for the quarter in much more detail. Sam?
Sam Sidhu: Thank you, Jay, and good morning, everyone. I want to echo Jay's sentiment. We are so proud of our team's efforts in delivering one of our best overall quarters yet, especially under such a challenging backdrop for the industry. In the second quarter of 2023, we earned $1.39 in GAAP EPS on net income of $44 million. On a core basis, we earned $1.65 in EPS and our core earnings were $52.2 million. Our core ROA was over 1% and our core ROE was 15.7%. Our improvement in net interest margin to 3.15% was a function of best-in-industry improved deposit costs supported by the repricing of our interest-earning assets, which, as you know, are largely floating rates. From a balance sheet perspective, deposits were up a net $227 million, but this does not fully reflect the significant improvement in our deposit mix and cost, which I'll discuss further in a few minutes. Loan balances were tactically reduced as we actively exited non-strategic credits in the quarter to free up balance sheet capacity for franchise-enhancing deposit-led lending opportunities. Credit quality remained benign with NPAs declining by 2 basis points to 13 basis points of total assets and NPLs declined by 12% to $28 million. Reserve levels remained robust at nearly 500% of NPLs, and we continue to closely monitor the portfolio for any signs of weakness given the uncertain macroeconomic backdrop. Turning to Slide 6. I'll provide some more detail here on the Venture Banking FDIC transaction completed in the quarter. Firstly, let me start off by saying that we are thrilled to welcome our new team members and clients to Customers Bank. This acquisition was a perfect addition to our existing Venture Banking vertical. The recruited team comes with an exceptional 20-year track record in the space and is widely regarded as one of the top-performing teams in the industry. I know that the team and the clients are extremely excited to get back to working together, doing what they do best, which is driving their respective businesses forward. And we're so happy to be able to support them. Customers Bank is now immediately being recognized as a leading bank partner for venture-backed companies serving customers from early stage all the way to IPO. Our nationwide presence and customized best-in-class technology platform will provide truly unique service and experience for those innovation and technology companies. Our acquisition of the FDIC portfolio and the parallel recruitment of the team will bring significant near and medium term deposits to our franchise. We expect that the new portfolio will be self-funded this year. And a reminder that historically these clients have deposit balances that are generally 2x their loan balances. We expect that this will provide tailwinds to our already robust deposit gathering momentum. Finally, the transaction is immediately accretive to both tangible book value and earnings per share, and we expect it to be at least 5% accretive to earnings in 2024, lending to the meaningful approximately $95 million discount. Moving to Slide 7. In an effort to maintain our deposit remix goals and capital target commitment to our stakeholders, and shareholders, we successfully executed on two loan sales at the end of the quarter to free up balance sheet capacity for the FDIC deal announced on June 15 late in the quarter. First, we fully exited the non-bilateral portion of our capital call fund finance credits. These did not have any meaningful deposit relationships and are with very large fund managers and reminder, this is a one-time event. We remain highly committed to the direct capital call line lending vertical and are seeing incredible bilateral opportunities and are excited to add clients to the portfolio that bring full deposit operating account relationships. It is worth noting that we have already added about $100 million in very granular non-interest-bearing operating accounts in the vertical over the past few months with a big pipeline being onboarded as we speak. Additionally, we sold about $550 million of consumer installment loans at a slight premium and ahead of plan. This transaction validates our strategy to increase the velocity of assets in our digital lending business and generate fee and fee-like income with limited to no credit risk. The combination of these two transactions will provide us balance sheet capacity to grow our partnership with strategic clients with primary banking relationships that support our funding and liquidity goals of the bank, all while continuing to meet the targeted increase in our capital levels. Moving to Slide 8. This was clearly a fantastic quarter for Customers Bank for many reasons, but we're most proud of our deposit successes. These wins are a true testament to the strength of the relationship-based banking supported by best-in-class technology product and solutions that we are delivering to our customers. In an environment where many banks are struggling to attract deposits, let alone low-cost deposit gathering, Customers Bank onboarded over $900 million of net core deposits in the quarter, while increasing the level of non-interest-bearing deposit mix by another $1 billion, bringing the total to now 25% of total deposits. This already as of today makes up for the late 2022 negative mix shift that both we and the industry as a whole experienced. I'm extremely pleased to report that our average cost of deposits declined by 21 basis points, and our spot cost of deposits also declined by 1 basis point. These declines were despite the rate increase that importantly highlights our unique ability to add low-cost and non-interest-bearing deposits used to remix our high-cost and wholesale deposits. We have been able to achieve this in one of the most challenging and competitive deposit gathering environments in modern banking history. We remain deeply focused on the quality of our deposits and the year – and at the end of the quarter, 77% of our deposits were either insured or collateralized. This metric keeps us in a very strong position relative to our regional bank peers. We are a beneficiary of a significant customer disruption and frustration in the industry, and we hope to look back on 2023 as a year of growing, diversifying and transforming our deposit base with high-quality, low-cost, sticky and granular franchise-enhancing deposits. Moving to Slide 9. As we discussed earlier, the strength of our deposit franchise drove record net interest income in the quarter of $160 million ex-PPP. And I repeat record NII with the lowering of quarter-over-quarter interest expense being the main driver. As mentioned, our net interest margin increased significantly to 3.15%. The continued improvement in our deposit franchise and the strength of our interest-earning asset positions us to perform best-in-class despite the headwinds facing the industry. With that, I'd like to turn the call over to Carla to discuss additional highlights from the quarter.
Carla Leibold: Thank you, Sam, and good morning, everyone. Beginning on Slide 10. We continued our strategy of improving the overall quality of our balance sheet and loan portfolio during the second quarter. Total loans held for investment declined by approximately $800 million quarter-over-quarter, with roughly $300 million of the reduction coming from our consumer installment portfolio. Another $300 million coming from our corporate and specialized banking portfolio, mainly from the syndicated capital call line of credit sale, net of the impact of the acquired Venture Banking portfolio from the FDIC and the remaining $200 million coming from our community banking portfolio. These reductions were tactical to free up balance sheet capacity for more strategic relationships that come with corresponding deposits. We continue to be excited about our positioning in the fund finance business and will pursue new business opportunities going forward. But our focus will be on opportunities that create holistic banking relationships for us across deposits and treasury management as well as credit facilities. Our net interest margin benefited 7 basis points from the increasing yield on our interest-earning assets, reflecting the floating rate nature of our assets, including our loan portfolio, which is approximately 70% floating rate and a 13 basis point reduction in our total cost of funds. The average yield on loans in the second quarter increased to 6.83%. Our loan-to-deposit ratio ended the quarter at 77%, 9 percentage points lower than our regional bank peers. We've operated the bank at around 80% loan-to-deposit ratio over the last five quarters. We believe operating at these levels is prudent, especially in an environment where liquidity in the banking industry is becoming increasingly scarce. Turning to Slide 11. Core non-interest expenses increased to $89 million in the second quarter. The increase was primarily related to two items. The first and largest component of the increase resulted from higher insurance expenses. Second, higher incentive accruals were recorded during the quarter tied to performance and the onboarding of our new Venture Banking team members. While our efficiency ratio may be slightly elevated for a quarter or two, our business model is highly efficient. This is evidenced by the level of non-interest expense to average assets relative to our regional bank peers. We were able to deliver high-touch client service while managing non-interest expenses because of our limited physical branch network and tech-enabled capabilities. This is the true differentiator of the Customers Bank franchise. Moving to Slide 12. We continue to proactively monitor our interest rate risk position with all the moving pieces in this dynamic interest rate environment. Without taking undue credit risk, we continue to generate almost 2x the yield on securities relative to our regional bank peers. The spot book yield on our available for sale securities portfolio increased to 5.38%, given that nearly 50% of the portfolio is floating rate. Even more importantly, we've been able to generate that return by taking only one third of the duration risk that our regional bank peers have exposed themselves too. As a result of the strong interest rate risk management, the unrealized losses in our securities portfolio relative to our tangible common equity is significantly lower than our regional bank peers. Turning to Slide 13. Our liquidity position remains robust and best-in-class with over $11 billion in total liquidity and over $9 billion in immediately available liquidity. The net interest margin results we shared with you earlier are even more impressive when you recognized. We finished the quarter with over $3 billion of cash on the balance sheet. We will continue to monitor market conditions to determine the appropriate level of balance sheet cash. That said, we continue to believe it is prudent from a risk management perspective to operate with higher levels of cash. There were modest reductions in our available committed capacity during the quarter, primarily resulting from our loan sales and the collateral value or pledging capacity associated with those loans. Immediately available liquidity as a percentage of uninsured deposits remains in excess of 220%, putting us at the very highest end relative to our regional bank peers. Moving to Slide 14. We added another $1 per share to our tangible book value in the quarter despite continued AOCI headwinds, the acquisition and onboarding of the Venture Banking loan portfolio, the one-time expense associated with the early surrender of BOLI policies and the onetime loss associated with the exit of the non-strategic short-term syndicated capital call lines of credit. Over the last 4.5 years, we have increased our tangible book value per share by 14% on an annualized basis. That pace of tangible book value accretion is significantly more than our regional bank peers. Importantly, we remain on track to achieve a tangible book value of at least $45 by the end of this year. Despite the significant improvement in our stock price during the quarter, we continue to trade at very attractive PE multiples, especially for a franchise that is consistently generating returns on capital of roughly 15%. Turning to Slide 15. Our estimated CET1 ratio ended the quarter at 10.3%. That was up an impressive 70 basis points compared to last quarter. We accomplished this despite the acquisition of a $631 million Tech & Venture loan portfolio through strong organic capital generation and the loan sales previously discussed. Our TCE ratio was 6% at the end of the second quarter. This ratio was negatively impacted by approximately 80 basis points of AOCI, the more than $3 billion of balance sheet cash also negatively impacted this ratio. Excluding this increased balance sheet cash, our TCE ratio would have been around 6.8%. We remain on track to achieve the year-end CET1 target of 11% to 11.5% that we disclosed last quarter, having achieved nearly 50% of that increase in a single quarter. While this can be largely accomplished through organic capital generation alone, we are continuing to evaluate a modest amount of incremental balance sheet optimization alternatives to the extent we see opportunities to exit additional non-strategic assets and relationships. Moving on to Slide 16. Credit quality in our portfolio remains incredibly strong across all metrics. Non-performing loans fell to $28 million in the quarter. Commercial charge-offs were de minimis at just 6 basis points and consumer and total net charge-offs remained in line with our expectations. The leading indicator of non-performing assets to total assets decreased 2 basis points to the quarter to just 13 basis points at June 30th. Commercial real estate exposure continues to capture the attention of bank executives and investors. We are extremely well positioned for the potential challenges ahead for the commercial real estate market. CRE comprises only 15% of our loan portfolio, excluding multifamily, compared to our regional bank peers that have about 30% exposure. More specifically, our office and retail sector, commercial real estate, each only account for approximately 1% of our total loan portfolio. They are both very granular portfolios with an average loan size of under $5 million. We closely monitor the minimal exposures that we do have and are pleased with our credit performance. Credits in these two sectors have an average loan-to-value of less than 60% and debt service coverage ratios of 1.5 to 1.6 times. As Jay mentioned in his opening remarks, superior credit quality has and always will be a core risk management principle that dictates how we operate the bank. We are firm believers that management must remain diligent about credit risk during the good times, which is why we are confident that we are very well positioned despite the uncertain economic environment today. Turning to Slide 17. As we touched on earlier, we further derisked the balance sheet in the second quarter through our continued reduction in the consumer installment loans held for investment. We have reduced the balances in our held for investment consumer installment portfolio by 47% over the last year and now accounts for just 7% of our total loan balances. The portfolio we continue to hold is very high quality and short duration. The average FICO score is 733 with no credit extended to consumers with FICO scores below 680. The duration of the portfolio is approximately 1.3 years. Going forward, we continue to see opportunity in the consumer space. We have developed differentiated origination capabilities and a robust network of partners. In our held-for-sale portfolio, we take very limited credit risk and currently are able to generate significant fee like interest income, in addition to the potential fee income opportunities we have identified going forward. With that, I'd like to pass the call back to Sam to address our outlook and provide some concluding remarks. Sam?
Sam Sidhu: Thank you, Carla. Before we wrap our prepared remarks, I want to provide a brief update on our expectations for the full year 2023. To reiterate, our top focus areas for the year are strengthening our balance sheet led by our improving deposit franchise, maintaining industry-leading levels of liquidity and significantly building our capital base. We are maintaining our loan guidance and our deposit strategy will continue to be focused on further remixing and improving the quality of our deposit base with significant core deposit growth used to pay down high cost and wholesale deposits. It's worth mentioning that despite the $900 million plus of core deposit growth in the quarter, our pipeline remains at or above $2 billion today. We are maintaining our full year net interest margin guidance but now have a bias towards the top end of our range. We're revising our non-interest expense guidance to reflect the higher level of expenses inclusive of the Venture Banking Group, as Carla discussed. And we're reaffirming our core EPS guidance of about $6 per share for 2023. Finally, as Carla shared with you, we're well on our way in position to achieve $45 or more of tangible book value by year-end. Lastly, on Slide 9, before we open it up to Q&A, I want to conclude with the takeaways from the quarter. Firstly, we materially improved the quality of our deposit base, and we bucked the industry trend by lowering our deposit cost, increasing our non-interest-bearing deposit mix and improving the mix led to relatively low cost deposit generation in the quarter with a $2 billion plus low-cost deposit pipeline for continued improvement. Our net interest margin, number two, expansion was differentiated versus the rest of the industry and positions us to meet or beat our full year guidance for 2023. Number three, we remixed the loan portfolio to emphasize strategic deposit-led relationships and provide capacity for multiproduct relationship opportunities across all of our lending franchises. Fourth, we meaningfully improved our capital base by an industry-leading 70 basis points despite the acquisition, lending to our balance sheet discipline and are well on track to deliver our promise to exceed 11% CET1 by year-end. And finally, we accomplished all of this in the quarter while never deviating from our core risk management principles. Our interest rate risk and liquidity positions remain best-in-class and our loan portfolio is positioned to weather whatever macroeconomic environment may be ahead. Thank you. Let's now open it up to questions.
Operator: [Operator Instructions] And your first question comes from the line of Michael Perito from KBW. Your line is open.
Michael Perito: Hi. Good morning guys. Thanks for taking my questions. I wanted to start on just a couple kind of clarity. Obviously, a lot happened this quarter, right, and a lot is happening this year. And I wanted to maybe kind of level set how you expect the business to look in 2024 and beyond. And so I have a couple of questions on that line of questioning. So I want to start on the loan portfolio side. I guess, Carla, you mentioned there might still be some actions you take. But is the end of period mix kind of indicative of what you guys think going forward, about 50% C&I, maybe 5% to 10% CRE, 5% to 10% mortgage warehouse, the balance CRE and multifamily. Is that – does that feel kind of like the right mix, given where you're at now? Or how should we think about that moving forward?
Carla Leibold: Yes, Mike, I think that's right. One of the things we wanted to reiterate is our loan guidance is really anchored back to the end of last year, at the beginning of this year. So when we're talking to a flat to declining balance sheet, really focusing on year-over-year, but I think the mix that we currently have is good to think about what it looks like going forward.
Michael Perito: And then – that's perfect. And then switching to the deposit side though, I imagine there's still – and you guys kind of alluded to this, but that mix still should change a bit over the next four quarters, right? I mean you have at least $0.5 billion targeted to come over on the Venture side. I imagine that will be a blend of kind of low and no-cost deposits. I guess just as you look ahead on that side, do you guys have kind of a targeted range of mix on the deposit portfolio that you're hoping to be able to achieve by the end of next year?
Sam Sidhu: Yes. So Mike, it's a great question. And I would sort of say, firstly, just as a reminder, we had obviously the low-cost deposits this quarter. In the press release, we talked about the $660 million plus or minus of wholesale and brokered CDs that were paid down. There's an additional almost $2 billion approximately in the second half of this year. And our anticipation is, is that if the core deposit pipeline continues to come in at the pace that it's coming in today would be used to continue to pay off high cost and also pay down those brokers. So the remix would actually be significant not just by the end of next year, but would really accelerate this year and continue at the pace that we're in. And just to kind of go back for a second to our growth, we also had a couple of $100 billion in the second quarter of high-cost digital deposits, consumer-related deposits that declined. And so our core deposit generation of actual new customer growth was approximately $1.3 billion to over about $100 million a week on average. Having said that, there was a huge acceleration after the FDIC deal announcement in the second half of June. And that pace has continued of that approximately $100 million or so, plus or minus, of core low-cost deposit growth in July as well.
Michael Perito: And Sam, if you had to try to like just give us a rough indication of the key verticals that drove and are driving that incremental low-cost deposit growth going forward. How would you kind of break that out? You had obviously dramatic DDA growth. There wasn't a color in the release about where that came from. I know we could probably guess, but just would love like maybe a layer deeper on that just we have an idea of what businesses you are really driving this?
Sam Sidhu: Yes, sure, of course. Good question. So it was broad-based across the organization, first and foremost, and the pipeline is also reasonably broad-based, but there is obviously a couple of verticals in the second quarter, but then importantly, I can kind of guide a little bit for the third quarter and beyond. So in the second quarter, we had a couple of $100 million of Fund Finance & Tech & Venture over the last quarter or so. We also had a couple of $100 million in end-of-period CBIT balances that were contributing. But as you know, with our discipline, I think we were at 13% last quarter about 15% plus or minus now with our discipline to any deposit vertical cap from a concentration perspective, you will not see any more growth from that vertical, whether it's deposits or noninterest-bearing. And then like I mentioned, it was broad-based across. But if you look forward at the pipeline, as you mentioned we have several $100 million of low-cost deposit growth in the pipeline of, as you can imagine, 150, 200 accounts being opened right now from our Tech & Venture Group of the loan portfolio. None of those deposits came in by June 30th. Those – the loans were – the credits came on by June 15th and it took a couple of weeks to kind of discuss with the customers, move over some of the servicing and the ACH and to begin those account openings. And we're seeing that really in earnest right now. Fund Finance is another big vertical where I think we have over 100 accounts at various stages of opening right now. And what's interesting about Fund Finance is as you know, these are typically noninterest-bearing in nature, and they're also a small ticket in the low end, $0.5 million to $1 million to $2 million. And if you look forward at our deposit pipeline of that $2 billion plus that I mentioned, it's granular. We're talking about average account sizes in the $5 million to $10 million on the high-end; it's going to be $20 million to $30 million, these are true granular, sticky, low-cost operating accounts.
Michael Perito: That's really good color. Thanks Sam. Just a couple of more quick follow-ups for me. Just on the loan-to-deposit ratio, Carla, I think if I heard you correctly, you said operating in like the 80% to 85% range going forward. Is that a that right or?
Carla Leibold: Yes, around 80%.
Michael Perito: Okay, around 80%. And I think in the release or the slides, Sam, you guys mentioned that the Venture piece is going to be two deposits for every dollar of loans like normalized, it might take some time to get there. But so I guess, that – that just all to say, I mean, there's still a good amount of remixing going on micro on the balance sheet here in terms of like what these businesses are going to contribute going forward. But I think just as guardrails, if we assume those – that low mix, the improving deposit mix and the 80-ish percent loan deposit ratio, it sounds like we should be in a flattish balance sheet near term. It sounds like we should be in the right ballpark of what you guys are expecting to happen?
Sam Sidhu: That's right.
Michael Perito: Okay. And then just lastly on the NIM guide towards the high end of the range. That's a full year guide, right, if I recall. So that would suggest you expect the NIM to maybe be in like the 320, 330 range in the back half of the year. Is that generally fair?
Carla Leibold: Yes. The NIM guide was the full year, and the range was the 285 to the 305. So we think that using the Q2 margin around 315 is a good way to think about it in the back half of this year as well.
Michael Perito: Okay. Very good guys busy quarter. Thanks for giving us all the additional detail and for taking my questions. Appreciate it.
Sam Sidhu: Thanks Michael.
Carla Leibold: Thanks.
Operator: And your next question comes from the line of Casey Haire from Jefferies. Your line is open.
Casey Haire: Yes. Thanks. Good morning everyone. A couple of follow-up questions, I guess, on the NIM. We got the spot deposit costs, obviously moving in the right direction. I was wondering, given all the moving pieces in the quarter on the loan front, if you could give what the spot loan yield was on 630 and the spot NIM, if you have it as well?
Carla Leibold: Yes. We don't have the spot NIM that we gave at the end of the quarter, focusing just on the 315 and the spot loan yields, it's hard to say because it varies so much by the different portfolios. But I think to say on average, 7% or higher was about – feels about right.
Sam Sidhu: Yes. And Casey, just to pride a little bit more color on the loan yields. As you may recall, our specialty lending verticals like a capital call lines, et cetera, we're typically whereas those were sort of in that 250 to 350 over SOFAR range. They're actually now at a minimum 300 and actually more in the high end of the range of 325 to 350. These are direct deposit-generating type relationships. Additionally, on the Tech & Venture and Venture Banking Group, you're typically at a prime plus 100, which is an additional 50 to 100 basis points over those verticals as well.
Casey Haire: Got you. Okay. And then just on the 11% CET1 target. You guys clearly sound like you're on a nice path. Just wondering do you need to do any more pruning of the loan book? Or can you get there organically? And then how much of the cash position, which is very strong at 10% of the balance sheet, will be utilized to get there in terms of – I mean, you could shrink the balance sheet, obviously, and pay down borrowings.
Carla Leibold: Yes. So just a little bit of color on that you're right. We can get there from organic generation alone considering on a core basis we made 290 so far in 2023. So the back half of the year that additional retained earnings generation could get you with to our targeted 11% to 11.5% with no other balance sheet optimization strategies.
Sam Sidhu: And Casey, if I could just go back, I just I don't think we fully answered your NIM question as we talked about the loan portfolio. But just wanted to remind and connect some dots the consumer loan sales were at a weighted average cost of, call it, mid-teens. The Venture Banking loan, which largely filled the whole were at that 9%-ish type range. So while there were very positive trends in the month of June and continuing on into the second quarter, there are also some headwinds, but those are desired headwinds and they kind of neutralized each other as the quarter and the year progresses.
Casey Haire: Right. Yes. No, that's my point is like the consumer book, obviously had a very nice rate and then the yield on the Venture book is coming in lower. Just understand from a risk perspective, all in that that's what you guys were going for. But yes, that's why I was just curious on the loan yield. Okay. And then what was my other – yes, so on the expense side, taking the guide up on the FDIC assessments. Can you just break out what's the breakdown between what is – how much of that is venture banking versus the FDIC assessments?
Carla Leibold: Yes. So a couple of points there. So first, I'd just like to reiterate that we were on target to deliver our previous expense guidance if it wouldn't be for these two items. Obviously, the larger component is the increased insurance expenses and then the second component is tied to sort of the full on-boarding of the new venture banking team as well as some increased incentives associated with earth tied to performance. So the larger piece would be the insurance expenses.
Casey Haire: Got you. And the FDIC, that's – my understanding is that comes later in the fourth quarter, and it's onetime in nature? Are you just referring to greater FDIC assessments on an ongoing basis?
Sam Sidhu: Yes, Casey. We're referring to accruals for larger expenses going forward and what you probably have seen in large commercial banks. And if you really dig in is that this is broad-based across the industry for large commercial banks such just that we have such a low expense base, and we're highly efficient from a cost base perspective. It's jumping out, but again going back to sort of the way that we think about efficiency, we'll have sort of a one to two-quarter blip in our efficiency ratio of the high-40s, and we'll go back to sort of our once that venture banking team and we sort of digest some of the capital headroom we created in this quarter. We go back to BAU; we'll be back to targeting 45% plus or minus efficiency ratio in 2024 and beyond.
Casey Haire: Got it. Thanks guys.
Operator: And your next question comes from the line of Frank Schiraldi from Piper Sandler. Your line is open.
Frank Schiraldi: Good morning.
Sam Sidhu: Hi Frank. Good morning.
Frank Schiraldi: Hey just want Sam, I wanted to get – just a follow up on the deposit question. Obviously, that was kind of the most eye-popping part of the quarter. So just the additional $2 billion in the pipeline, just want to make sure I understand. Is that mostly noninterest-bearing? Is that just low-cost in general? Or how would you characterize those balances?
Sam Sidhu: Sure. Great question, Frank and interestingly enough it's in the similar sort of strike zone as we're operating in right now, 25% to 35% noninterest-bearing, the rest of it being moderately low cost. And when I say low cost at this point in time, you sort of think of that as sort of at our average cost of deposits as opposed to the marginal cost of high deposits. So our hope is that we can continue sort of in the pipeline, I think that of the $100 million plus that I was mentioning that we're bringing on per week right now. I'd say about $20 million plus or minus $1 million, if not $30 million, is noninterest-bearing. So that pace is continuing and again, the use of proceeds is going to be paying down the higher costs, letting some digital high-cost digital deposits run off and wholesale deposits in the second half of this year, and we'll look to continue the trend of this deposit mix shift in the second half of 2023 to set up a really nice platform to jump off of in 2024.
Frank Schiraldi: Okay. So even if is coming on 25% is noninterest-bearing, the stuff that's coming off is all interest-bearing, all hired yielding or higher cost stuff. So we should expect that noninterest-bearing as a percentage of total to continue to increase, I would assume, over time.
Sam Sidhu: That's the hope, Frank. Obviously, you can't fully control these things, but that assumes sort of static noninterest-bearing balances from where we are today, which we think is probably accurate given the customer relationships and conversations, as you can imagine, for someone to hold a noninterest-bearing account, there has to be either a true 100% operating account or an incredible value-added proposition like payments that would have you not demand to put those into an interest-bearing account or at least to move some of it into an interest-bearing income.
Frank Schiraldi: Sure. Okay. And then you mentioned the capital call lines. The sale of the business in the quarter was sort of a one-off. There's no deposits tied to it. So at this point, generally speaking, what's on the portfolio is there – its operating stuff where there is deposits funding those lines? Is that fair? And so you wouldn't expect – and that's why you wouldn't expect additional kind of one-offs on that side of the business?
Sam Sidhu: That's right, Frank. So the way to think about it is, is that the $600 million plus or minus of commitments approximately represented about $300 million in outstandings and it was about a third of the outstandings that we had on our balance sheet. So we have $520 million of outstandings in Fund Finance at the end of the quarter. Those are 20% as of today self-funded, which is up significantly from no balances just a couple of quarters ago. And it's a testament to sort of that technology enablement transaction banking that we first started talking about last summer. So we're continuing to add a number though of also direct noncredit noninterest-bearing deposit relationships as well to counterbalance some of the net credit relationships that we have in the vertical.
Frank Schiraldi: Okay. And then just last question on sticking with that theme; just curious your thoughts on what's the right sort of level of brokered balances on the balance sheet for you guys, given that you've got the branch-light model, at this point do you say we've got these niches that can provide this funding that maybe we're ultimately not looking for any sort of sizable brokered on the balance sheet? Or is that still going to continue to be a sizable portion just given that the model you guys run? What are your thoughts there?
Sam Sidhu: Yes. That's a good question, Frank, and thanks for the thoughtful approach to it. So I think that from one of the things that the entire industry learned in March is that brokered contractual and insured deposits can be an incredible sort of diversified deposit strategy for any bank. Typically, a traditional sort of retail banking franchise has somewhere in that 5% to on the high end, 10% to 15% of broker or wholesale deposits. I think the right number for us, the right target for us is probably 15% to 20% given that we're branch-light and a commercial grower is good to have that diversified contractual space. It also helps from an interest rate risk management perspective, if you also sort of split that between short-term, less than 12 months and longer term; it also allows you to have some reference portfolios on the liability side for hedging purposes. So I think that the way that we – you'll sort of see that number progresses we'd like to have it half as early as the end of the year or early next year.
Frank Schiraldi: Great. Okay. Thanks for all the color, Sam.
Sam Sidhu: Absolutely.
Operator: And your next question comes from the line of Peter Winter from D.A. Davidson. Your line is open.
Peter Winter: Thanks. Good morning. I wanted to ask with the acquisition of the Venture Banking loan portfolio, and then you've got the recent bank failures that were also in this business. Can you just talk about your competitive positioning and how this deal enhance your capabilities?
Sam Sidhu: Yes, sure, absolutely. Thanks Peter, and good morning and I appreciate the question. So I think I mentioned in my prepared remarks, this team allows us to have a nationwide presence, end-to-end with offices and or presence on the ground presence in Los Angeles, San Francisco, Austin, Atlanta, Denver, Raleigh, Boston, Chicago, D.C. So truly a nationwide footprint of on-the-ground relationship managers. It also comes fully with five or maybe half a dozen person treasury team, it comes with about, eight or nine folks on the credit side and about a dozen or so plus or minus relationship managers. So it's truly a fully integrated very well-regarded team. I have personally spent a good amount of time with some of the important customers virtually over the past couple of weeks since the on-boarding occurred and nothing but incredible things to say. And one of the things that we have noticed is that with all of the dislocation that you referenced, there are very few banks that had a running head start of an existing business that as we did, we're combined on a combined basis, over $1 billion in outstandings, about $2 billion in commitments right now in this vertical. And with that nationwide presence plus a truly best-in-class team really is going to set us apart, both on the deposit gathering side as well as thinking about continuing to grow from this space over the next couple of quarters in the future in 2024 and 2025 from a credit and lending perspective as well.
Peter Winter: Got it. And then what inning do you think we are in terms of exiting these nonstrategic relationships? And then would you think that you're going to grow the balance sheet next year?
Sam Sidhu: Yes. Good question, Peter. So in terms of the nonstrategic exiting, the plan was to have these to be gradual over the course of the year. We had an upside opportunity to acquire the FDIC portfolio as well as to recruit the team, as you know, that happened very late in the quarter, and we thought it would be prudent to execute on a number of things late in the quarter to do what I would call sort of a cleanup catch-up. These non-bilateral syndicated capital call lines were all maturing in the next call it, 100 days, say 120 days. So truly this was really an acceleration; make sure that we had both the cash and liquidity on-hand so that we were not going one step forward, two-steps forward, one-step back from a deposit remix perspective. But also that we left the capital headroom and stuck to our very important and differentiated commitment of that significant capital increase by year-end. So to summarize, this was sort of a catch-up cleanup quarter. You're going to see us have sort of a clean focus through the remainder of the year and we're really focused now on continuing the remix on the deposit side. Having deposit growth exceed or core deposit growth exceed loan growth and when you trade out BOLI at 2.5%, et cetera, this is just an opportunity for us to really focus on the core strategically important liquidity-led credit verticals that we're in.
Peter Winter: And so would that lead to – that would accelerate or grow the balance sheet that you can start growing the balance sheet next year?
Sam Sidhu: It's too early to say at this point in time, Peter. I think really our focus is just too kind of put a finer point on that. We have $400 million of remaining cash flows in the remainder of this year on our securities portfolio. We have $1 billion plus of loan maturities. There's plenty of opportunity for us to continue to grow originate. We did gross originate in the second quarter to the tune of $500 million plus, and we'll continue to do franchise enhancing. Again, liquidity lead, deposit-led lending. And we as an industry will reevaluate as the year progresses. At this point in time, we have no plans to increase the balance sheet from where we are because there's enough opportunities in the deposit remix side and as well as on the loan remix side going back to deposit opportunities.
Peter Winter: Got it. And just my last question. Can you just provide some color around this $5 million loss on the sale of the capital call line? I guess for me, I was surprised just given the long history of virtually no credit losses in this type of business line?
Sam Sidhu: Yes, absolutely, Peter. These are – this is not a credit sale. This is an exit of non-bilateral, meaning syndicated, there was – this is essentially partnered with one of the failed institutions about half a dozen credits. On the small side, we're talking $5 billion to $10 billion fund size. On the high end we're talking $100 billion-plus manager. These are not relationships we could have or plan to take over from a much larger institution as those lines mature. Again, this was 100% money good. It would have been nice to be on the other side of this transaction, but it was important for us given the strategic importance of the FDIC transaction and the onboarding to make sure that we had both the capital and liquidity headroom, and we were not deviating from our commitments that we made to you earlier this year.
Peter Winter: Got it. Great. Thanks. Congrats on a very nice quarter.
Sam Sidhu: Thanks Peter.
Operator: And your next question comes from the line of Matthew Breese from Stephens. Your line is open.
Matthew Breese: Hey good morning.
Sam Sidhu: Good morning, Matt.
Matthew Breese: I wanted to go back to the increase in FDIC expense up meaningfully quarter-over-quarter. As measured over deposits it's now at 22 basis points annualized versus 6 last quarter. And I've seen a lot of the banks with a quarter-to-quarter increase, but this one stands out in terms of degree. So I'm curious why the more robust change? Was there something from a regulatory standpoint or matters requiring attention? Or is it broker deposit related? Can you address these items and what the drivers were behind the increase?
Sam Sidhu: Yes, Matt. So we are – we reaffirmed the run rate guidance of this jumping off point. To be clear, the increase of the 6 plus or minus million in FDIC insurance also included a catch-up of $1.5 million to $2 million for the first quarter. That will be replaced more or less by a full run rate of the venture banking team, which is why we sort of referenced sort of this as a jumping off point. So it's not fully apples-to-apples the way you described it. And again, this is consistent. Those levels are absolutely consistent with large commercial banks that we have evaluated and looked at. And again, this is, as I think Carla mentioned; we expect this to be a short to medium term, meaning this is not a multiyear increase and we expect that there'll be some sort of stabilization, especially after the assessments are revised and there's opportunity to have more ongoing two-way dialogue.
Matthew Breese: So the increase in FDIC insurance is tied to the VC loans and team you brought in?
Sam Sidhu: It's not tied to any one thing. If you go back to the overall industry at the levels that we are talking about for large commercial banks as well as those, to your point, that have transacted with the FDIC, this is a consistent increase in the quarter.
Matthew Breese: Okay. Maybe shifting to the mix shift we've seen year-to-date on the deposit side, particularly in noninterest-bearing. How much of the change was done from existing customers or existing depositors versus new?
Sam Sidhu: It's a good question. I'm going to speak directionally because I don't have exact numbers, but I would say, call it $400 million plus or minus is from existing – maybe a little less actually, maybe $200 million, $250 million plus or minuses from existing customers with higher balances and the rest is coming from the verticals I earlier described.
Matthew Breese: Okay. The two ones I would appreciate more color on is, one, where do you see CBIT deposits balance wise stand today? And are those in noninterest-bearing at this point? And where were they at year-end?
Sam Sidhu: That's right. That's right. The CBIT balances at year-end I believe we're around to two. They were a similar balance, two, three, maybe last quarter. Average balances were $2.35 billion for the quarter and we were at our, or below our target of 15% as we will continue to be.
Matthew Breese: Right. Are those in noninterest-bearing at this point?
Sam Sidhu: Correct. Yes, they're all noninterest-bearing.
Matthew Breese: Okay. And were those noninterest-bearing at year-end?
Sam Sidhu: They were noninterest-bearing at Q1 end.
Matthew Breese: Got it. Okay.
Sam Sidhu: There was a big [indiscernible] from the first quarter.
Matthew Breese: So there were moved from interest-bearing into noninterest-bearing earlier this year?
Sam Sidhu: Correct, in the first quarter.
Jay Sidhu: Yes, Matt, essentially, what we did is that these are operating accounts for us. And then we've been very much focused on having operating account relationships with every one of our customers. And that is the strategic decision we made, and we exited digital businesses as well as other businesses where we do not get – we only get interest-bearing relationships and nothing else. So all our digital asset relationships right now are noninterest-bearing, and their operating accounts tied to our payment systems.
Matthew Breese: Understood. Okay. The other chunky deposit base per se are the BankMobile, BMTX deposits. What are balances there stand at today? And where are those sitting in terms of – are they noninterest-bearing or interest-bearing at this point?
Carla Leibold: Yes. I can give.
Jay Sidhu: I believe that. Go ahead Carla.
Carla Leibold: No, I was just going to add that they are sitting in the interest-bearing deposits and they're not a meaningful part of our deposit balance at this point in time.
Sam Sidhu: It's like low single digits, Matt. So we've diversified away from that relationship.
Matthew Breese: Low single in terms of percentage of overall deposit?
Sam Sidhu: Of overall deposits. That's right.
Matthew Breese: Okay. And they're supposed to wind down by late 2024. Is that accurate?
Sam Sidhu: Half of the relationship, so then the half that would be remaining would be even less material as a percentage of our overall deposit base.
Matthew Breese: Got it. Okay. Maybe just switching to the installment book. Can you remind us how much has been – how much of the – I'm sorry, securities portfolio at this point ties back to the installment book? Because I think I remember two securitizations, but I couldn't remember if there was a third one.
Carla Leibold: Yes. So in our HTM book, we have roughly a little over half of that book is for the securities purchased out of the consumer installment securitizations.
Matthew Breese: Okay. And I think in the past there's been some protections as you go through this. Could you remind us of the past protections? And then were there any with the most recent securitization?
Sam Sidhu: It's consistent, Matt. So this is a truly completely protected senior position, not so dissimilar to any other ABS that's sort of in that double AAA range.
Matthew Breese: Got it. Okay. Last one for me. The VC team, should we assume those were from one of the more recent failed institutions?
Sam Sidhu: That's right.
Matthew Breese: From Signature Bank.
Sam Sidhu: From Signature.
Matthew Breese: Okay.
Sam Sidhu: This is the old Square One PacWest team.
Matthew Breese: Perfect. Okay. That was my thought. Could you remind us of historically what the loss content is for VC lending? My understanding is it comes with a lot of deposits, but tends to have a little bit of a higher loss content. What's the historical loss rate?
Sam Sidhu: Yes. So the 20-year track record of this team is 1% or less. And when you actually add in some of the warrant income, et cetera, it's actually zero on a net basis.
Matthew Breese: Got it. Perfect. Okay. Along those lines, should we expect or what are expectations around provisioning for the remainder of the year?
Carla Leibold: Yes. So for the provision, again it's hard to predict, but I would say between that $18 million to $22 million range for the back half of this year feels right.
Matthew Breese: Got it. Okay.
Carla Leibold: Thanks.
Sam Sidhu: Thanks Matt.
Operator: And we only have a little time left, so we'll take our one final question from Bill Dezellem from Tieton Capital Markets. Your line is open.
Bill Dezellem: Thank you. A couple of questions. First of all, relative to the VC portfolio addition, would you walk us through the background of how we got there and how you all we're the ones ultimately that the FDIC chose? And then secondarily, are there other opportunities that the dislocation that's taken place this year in the industry creating other opportunities, whether VC or otherwise, it's broader than just at just other opportunities that you may or may not see out there.
Sam Sidhu: Sure, absolutely, Bill. I'm happy – good morning, happy to take that question. So firstly, on the Venture Banking side, we saw this portfolio and this team and we had prior relationships with this team, frankly from a recruitment perspective for an extended period of time. And we had monitored and seen that it had not gone with the whole bank transaction. And there's sort of a several week type FDIC-related diligence process and with the closing on June 15. So it was a very accelerated process really focused on credit from the loan portfolio side and strategic from a recruitment side. The real focus for us is making sure that we had a team that had the right cultural fit that was aligned with taking our approximately $0.5 billion portfolio of business and taking it to the nationwide goals that we would have normally had over a three- to five-year period, but we're doing it on an accelerated basis. And the discount provided extra cushion from the perspective of the accelerated credit diligence, which we've now obviously fully completed and feel incredibly comfortable with but also provided a little bit of headroom from the perspective of what if you couldn't recruit the team, which the team has now been fully onboarded less of a consideration and look to roll off some portion of that portfolio, which is not plan at this point in time. So I think that we feel very fortunate that there was an opportunity to bring in that team, as I mentioned earlier, after the announcement, we saw outside of Venture Banking significant deposit momentum and customer interest and growth. None of those deposits that are related to this portfolio actually came in as a reminder, as of June 30th. So they're coming in the third quarter, so I think that's sort of the way to think about the venture banking process. You also asked a second question about where else are we seeing opportunities. I think that being a service-oriented technology focused – best-in-class technology focused niche banking focused commercial bank. There's been a tremendous amount of dislocation, whether it's Tech & Venture, whether it's Fund Finance, whether it's Private Banking, whether it's equipment finance, across the board in many of our niche verticals. So we're seeing great opportunities both to lean in and remix customers to a lot more sort of franchise enhancing and a much less competitive environment. We're also seeing opportunities to recruit. We've added half a dozen to a dozen new team members in some of those verticals. We've added sort of a venture capital focus in our Fund Finance team from some of the dislocated institutions, and we continue to be at any given time at a minimum meeting at a maximum, discussing onboarding with a number of teams who are figuring out what does their business as usual mean for them in their current or new institution that they're at?
Bill Dezellem: And congratulations on that purchase.
Sam Sidhu: Thanks Bill.
Operator: And this brings us to the end of our question-and-answer session. Mr. Sam Sidhu, I turn the call back over to you for some final closing remarks.
Sam Sidhu: Thanks so much, everyone. Really appreciate your focus and interest in Customers Bancorp. As I – as Jay and I mentioned earlier, we are very proud of our team's efforts. We very much appreciate our customer support. And as we said, on a relative basis we feel this is one of our strongest quarters ever to date, and we think it's an incredible foundation to build off of. So thank you so much, everyone. Have a great morning.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.